Camilla Horsfall: Right. It’s 3:00 pm UK. So, I think we can go ahead and start. Hello everyone. Welcome to our Q4 Results Call for Shareholders. So, on the call from Caledonia, you have Steve Curtis, our CEO; Mark Learmonth, our CFO; Maurice Mason, our Vice President of Corporate Development, and then myself, Camilla Horsfall, I’m the Vice President of Investor Relations. We’re going to leave some time at the end for questions. So, if you have any, then please just type them in to the Q&A at bottom or raise your hand, and we will unmute you. I’m now just going to share my screen and pass you over to Steve and Mark, who are going to talk through the presentation.
Steve Curtis: Thank you, Mills. While you do that, just say welcome to everybody. Thank you for joining this results presentation, very nice set of results to run through with you. And we’re going to have the usual presentation, which you would be able to find on the website as well. We will run through the presentation quickly between Mark and myself and Maurice. And then, as Camilla said, we will take questions. So, let’s get going. I’ll just do the first few, and then when we get into -- to the numbers, I will hand over to Mark and let him go through those particular slides. So, Mills, if we can have the next one? The disclaimer, everybody knows about, so we’ll flick into the highlights section. A lot of this people are familiar with already. We must acknowledge that our health and safety record was tarnished, by a fatal accident that we had in February this year. So, although we’re talking to the highlights of 2021, we do recognize the severity of that. Prior to that, we’d had a really, really pleasing run of fatality-free shifts. But, this always reminds us that the industry we are in. So, our condolences go to the mine and the family of the deceased. Albeit, very excellent performance in 2021, which you are familiar with, over 67,000 ounces. These have already been announced, costs well contained. Financial performance, very good, 21% increase in turnover. That’s a combination of ounces and good gold price, 11% increase in the adjusted EPS and a 49% increase in the dividend that all of you as shareholders or interested parties would have been familiar with already. And then, we have been speaking about the new opportunities for all for quite some time now, and we have already announced the Maligreen Project. So, that’s also familiar territory. Results highlights, just summarized here. As I’ve said, 67,500 ounces at average gold price, slightly above 2020. Revenue benefiting from the higher number of ounces, $121 million. Gross profit, very nicely up at over $50 million, $54 million. Adjusted profit attributable to shareholders, 27.5 and adjusted earnings per share $2.26, very, very nice. And the dividends paid out during the period $0.50 per share to shareholders over the quarterly period. Generally health and safety was a good record for ‘21 which is the last row on this table showing that in total, we had 31 occurrences, but very good to see no fatalities in ‘21 as we had in 2019 and 2020. Medical aid, yes, 21, which was a high number, but we have to recognize the industry we’re in. We continue our education efforts in terms of health and safety through Nyanzvi. And that was disrupted by COVID, where we had to do social distancing. That is now fully up and running again. And it will get a high level of attention because of two-year gap where Nyanzvi really wasn’t the highlight that it always has been, is not good for an industry like ours. So, Nyanzvi is really, really a focus area. But a satisfactory and a very happy safety performance, as I’ve said already, unfortunately, you have to remember that we had a fatality. We cannot take the eye off the ball. COVID-19, there’s not much we need to talk about here. We’ve spoken about it a lot. Needless to say it is still around. We have got a high number of our employees and their families vaccinated, which is very good. Operations are not disrupted. There is a tolerable level of COVID infections in Zimbabwe and operations continue as normal. Transporting in and out of Zimbabwe is perfectly possible. So, we can get specialist skills in when we need and we can also move material up to the mine. So, yes, COVID is there but it is not affecting us. But again, we don’t take our eye off the ball. Safety protocols are still very, very high on the mind and we will continue with our vaccination drive. Operating review. We’ve spoken about Central Shaft a lot. Everyone is aware that it was commissioned in March ‘21 and it is currently being used to hoist waste material and we will slowly migrate across to hoisting ore but the benefit of hoisting waste material out of Central Shaft is that it is freed up to capacity on full shaft and that allowed us to ramp up production in 2021. We would not have achieved 67,500 ounces if we hadn’t had the ability to have two shafts running. And as we got towards the end of 2021, fourth shaft was proving that the mining operation was capable of delivering the requisite tons to achieve our 80,000 ounce run rate. And we have successfully hoisted out of four shafts the 2,200 to 2,300 tons a day when we need to. And so we are very happy that Central Shaft is running. There’s obviously a fair amount of development work that has to still take place in and around the infrastructure of Central Shaft but we -- there are very few operations that actually commission a shaft and immediately put it into some sort of use. So, the preparation work that Dana and his team’s did has paid handsomely for us. And the fact that we have been able to bring it into production, utilize its capacities and therefore continue with deep-level developments that are very necessary to ensure that we open up the production areas that are going to be needed to sustain the 80,000 ounces. These are just some visuals that you’re going to get of the Central Shaft infrastructure. So, this is obviously drone footage. The Central Shaft is evident. The gensets, housings are there on the left, the white. You’ve got the main wind house,  the big green building in the middle, a very, very nice setup. The village you can see in the background there. And if you would have known sort of between Central Shaft and the village would have been four shafts, just to put it into perspective. I think we can move on. So, this is a graphical representation of what has happened during the year 2021, and a very nice uptick in the number of tons, very necessary. The grade has delivered in terms of the plan. So, that is why we have achieved very good production results. You can see the bars on the bottom graph illustrating our production progress, record quarters resulting in a record year. So, this is the proof of the pudding that Central Shaft is delivering and it was a worthwhile investment. And we are therefore confident that we can go forward and ramp up to the 80,000 ounces as we are guiding 73,000 to 80,000 ounces for 2022. But, everything is pointing in the right direction. So, we will obviously, on a quarterly basis, be able to represent how the progress is going. We haven’t done a 20,000 ounce quarterly yet, but very, very close in Q3 and Q4. So, as I’ve said, we are very confident that the run rate that we have been talking about for years will be achieved. Electricity continues to be a challenge in Zimbabwe. And not just Zimbabwe, Southern Africa is very short of grid power. Blanket’s, primary source of electricity is still grid. Although we do have full generating capacity on diesel to augment that if there are shortages. We’ve put in protective equipment, autotap changes to protect us from erratic supply coming through the grid. And as many of you will be aware, we’re also constructing a 12-megawatt solar farm, which will be operational roundabout midyear 2022. So, as long as we are reliant on the grid power, we do have a risk factor. We don’t have difficulty at this point in time getting diesel for the gensets as and when we need them. But obviously, we don’t want to use them any more than absolutely necessary. It’s expensive. It is not environmentally-friendly. And, I must say, since we put in the autotap changes, the ability of the mine to manage the erratic electricity coming through the grid has improved dramatically and we haven’t had to use the generators, anything like we had to before, before the autotap changes went in. So, that was money well spent again. But, you can see in the first block that the cost of the diesel in 2021, nearly $4 million, that’s a lot of money on something we really don’t want to spend money on, but it secures production. So, we will do it when we have to. I’ve spoken briefly about the solar project. We visited the site probably two weeks ago, three weeks ago. It is progressing well. Solar panels are there and arriving on mass. And once the actual pilings go in for the support structure, this project is going to progress very, very quickly. We are at the end -- pretty much the end of March, but we are still confident that by the end of June, we should have a solar farm that is operational and supplying clean power to Blanket. It is only going to be -- just to remind you, only about 27% of Blanket’s total needs on a 24-hour basis, because we are not putting in battery storage facilities at this point in time. So, it’s only available to us during daylight hours, but it is still going to be a massive asset to the Blanket mine, and it will enable us then to plan forward as to how we deal with, let’s say, second phase or alternative thinking around securing Blanket’s electricity supply. So that again, the investment made in Central Shaft is not hamstrung by anything to do with power. So, very excited about that, and that’ll be something we’ll be talking to shareholders about during the year and hopefully some very impressive pictures roundabout June. I’m going to hand over to Mark to do the financial review, and enjoy that. And then, we will chat again towards the end.
Mark Learmonth: Thanks, Steve. Just to reiterate a point that Camilla made. You can send questions in by typing in the chat box. Revenue, we discussed, it was primarily up because of the higher production. Gold price was virtually unchanged. Royalties still stay at 5%, no change there. I’ve got a little bit more detail on production costs, which increased from 43.7 to 53.1, primarily due to higher labor costs and more electricity costs. Depreciation has more or less doubled, because don’t forget now having brought the Central Shaft into operation, which we now started appreciating it, so that explains that. G&A also up significantly, and that’s again, mainly due to higher wages and salaries. I’ve got more analysis on that in a moment. The foreign exchange gain, the net foreign exchange gain was markedly reduced from $4.3 million to $1.2 million. And that just reflects the slower rate of the devaluation of the local currency. Don’t forget, the exchange rate is a managed exchange rate, managed by the reserve bank. It doesn’t reflect the rate of local inflation. And again, I’ll be referring back to that in a moment. There’s quite a substantial difference. Net other income expense, this year $7 million net expense; last year, it was pretty much flat and $0.6 million. And don’t forget, the 2021 number, $7.1 million includes the $3.8 million impairment on the Glen Hume exploration asset, which we decided not to pursue, whereas in 2020 -- 2020 number included a $4.1 million credit, rising from export incentives that was discontinued. So, those are the two big factors that explain the swing in other income. Tax remains at about 38% on a consolidated basis. And also I’ve got some more information about later, but that does include leakage due to withholding tax as we move money around the group. Also, tax on intercompany profits in South Africa, the non-deductibility of certain costs that we incur in Jersey because the tax rate here is zero. NCI, the minority interest in our language, that reflects the economic interest of the local owners in Blanket after the -- after taking account of the facilitation loans. So, that is the 10% now unencumbered economic interest held by the community, and then 23.2%  held by the government, that’s a very effective holding after taking into account the lower payments. The ownership of the employees is included in production costs as required by IFRS. So, adjusted earnings per share, up from $2.04 last year to $2.26 this year. Just a bit more information on wages and salaries. The big increase was -- sorry, on production costs. The big increase was wages and salaries, increasing by nearly $5 million. And that reflects online salary increases, higher bonus provisions. Don’t forget the mine performed well in terms of production, and that resulted in higher bonus payments. And also, we’ve appointed some senior additional -- some additional senior people at the mine who clearly cost more than the average as well as a substantial increase in the online headcount. The online headcount is now just under 2,000 people. Consumables also up above the rate of run rate of production. And that reflects the cost of the trackless equipment, which is very expensive and is used in the declines. We have -- during the year, we did put measures in place to control those costs better, but that only came -- that was only sort of recognized sort of partway through the year. We are going to live with trackless equipment for quite some time as we continue doing the development. So, that will be an embedded cost in the business. COVID consumables reduced substantially as the need to sort of incur those costs diminished. Electricity, as we’ve already mentioned, that increased substantially, a $2.1 million increase. And that really reflects the increased use of the diesel generators, particularly towards the end of the year when the incidence of power interruptions arising from voltage surges was substantially increased, and that required us to use the gensets more. As Steve mentioned, right at the end of the year, we did put in a further autotap changer, which protects our equipment from those surges. And we have not seen a substantial decrease in the diesel usage from January onwards, which is good. Then you’ll see on-mine administration. It’s not a big cost, $1.8 million increasing to $2.7 million, but that did increase quite substantially. That reflects the fact that a lot of those local on-mine costs paid in local currency, RTGS. The rate of inflation in the local currency is still extraordinarily high, and that’s just not reflected in the official exchange rate, which is what we used to convert those locally denominated costs back into U.S. dollars, and that does give rise to net increase in that cost area. Just in total, the cost per ounce of $742 an ounce was within the bottom end of our guidance range, which was $740 to $815 an ounce. G&A, the big component in G&A is wages and salaries, which increased from $4 million to $5.4 million. That reflects an increase in the headcount. We increased the size of the Johannesburg office from 20 to 24. And again, the extra employees were at the expensive end of the scale, people like particularly rock engineers whereas we’re going deeper, we need to devote more attention to that area. And so, those costs have gone up. I don’t really think there’s much more to talk about on G&A because the main component of that really is wages and salaries. Moving on. Taxation just -- this analyzes tax between the main component being income tax in Zimbabwe and then the other bits and pieces, which is all the withholding tax. So, we’ve got income tax in South Africa that arises on the intercompany profit. Clearly, that intercompany profit disappears on consolidation. The amount we have to pay on that profit to the South African revenue, obviously, you can’t wish that away. So, that’s $0.5 million of tax there. And then, there’s various withholding taxes on the management fees as we pay management fees from Zimbabwe to South Africa but also on the deemed dividend component, those management fees are recognized by the Zimbabwean authorities as effective dividends. And again, that incurs a withholding tax in Zimbabwe. Deferred tax, $5.8 million, that just simply reflects the fact that in Zimbabwe, we get 100% capital allowances for capital expenditure in the year and which is incurred. And clearly, there’s no corresponding accounting benefit from that arising from depreciation. And so, that’s sort of a temporary factor and will over time reverse. Cash flow was very strong. The number I like in particular is the one at the top, cash flow before working capital, just a shade under $50 million, nearly $1 million a week. And that really does reflect the improvement in cash generation due to higher production. Below that, you can see working capital increase substantially in the year -- by $11 million. That’s approximately a $4 million increase in inventories, $4 million increase in prepayments and a $4 million increase in amounts receivable, offset by a small increase in payables. Of those three big increases, inventories, receivables and prepayments, the one that we can really control is inventories, and we are putting a lot of effort now into trying to manage the inventory level down. I mean, I think previously, the mantra just in time has moved to just in case. And we did deliberately increase our stock levels in the course of 2021 to protect ourselves from any interruption to the supply chain arising from COVID, but also from the sort of insurgency in South Africa in September, I believe. But I think that’s probably gone too far down. So we need to more control on our inventories. In terms of receivables and prepayments, I’ve got some information on that in a moment, but it’s not an area of great concern to us. We invested a lot. $35.9 million in the year. That includes $4 million on the purchase of the Maligreen asset towards the end of the year and $1.6 million spending on solar. So, there is a lot of spending left to do on the solar project in the course of the next few months. Financing. It’s 2.4 income. So, that’s dividend payments -- Blanket’s dividend payments -- the dividend payments the Blanket pays to its minorities plus the dividend payments that Caledonia makes, net of equity raises in 2020 and 2021 and the proceeds of the gold loan, which we took out towards the end of 2021. So, at the end of the year, we had cash of $16.3 million. And I will warn you that we do expect that cash to be eroded in the -- certainly, the first half of 2021 as we embark on quite a high level of planned capital expenditure on the Central Shaft and on the solar project in the first half of 2022. Just a bit more information if you’re concerned about prepayments and trade receivables. You can see the prepayments, nearly $7 million of prepayments. A component of that really relates to prepayments for the solar project, so that prepayments to Voltalia. And then the rest of it reflects the fact that the supply credit in South Africa and Zimbabwe is drying up, and we’re just being now required to make prepayments for shipments for the mine. In terms of the Bullion sales receivable, again, that does look to have gone up alarmingly form $1.3 million to $4.5 million. And so, we’ve hopefully broken that down. So, you can see when those amounts were -- when that $4.5 million was repaid. Now, the way in which we get paid for each gold delivery is you get staggered payments. So typically, you got to pay the RTGS component first and then the U.S. dollar component later. And then, the -- then there’s a correcting U.S. dollar payment, which reflects the extent to which our deliveries in the months have exceeded the benchmark such that we qualify for an incremental proportion of our revenues in U.S. dollars. So, it’s not particularly straightforward. But I think the point of that little inset table is to show you all that $4.5 million has all been recovered partway through January. So, I don’t want people thinking that was a difficulty with getting our money out of Fidelity. And actually, the payment system from Fidelity has improved substantially as 2021 progressed. The balance sheet. Obviously, noncurrent assets, fixed asset goes up because of the continued investment. Working capital goes up for reasons that I’ve just discussed. The derivative financial asset, in 2020, we had a $1.2 million gold ETF, and that reflects the fact that temporarily we had a cash surplus in South Africa, which we’re obliged to hold in South African rands. We knew we would need it in -- we knew we would need that cash in South Africa at some time but getting money out of South Africa and then back into South Africa can take quite a long time. So, rather than run the risk of shipping the money out of South Africa, so we could hold it in U.S. dollars and protect ourselves from any rand devaluation we decided to do the next best thing, which was holding the gold ETF to pretend against rand devaluation. I think there’s not really much more to say on the balance sheet. Moving on. So, in terms of outlook, this year, we’ve guided our production 73,000 to 80,000 ounces. Clearly, we strongly hope that we’ll be towards the top end of that guidance range. All-in sustaining costs of between $880 and $970 an ounce. I think the critical thing is the CapEx burden for 2022 is still quite substantial. And so, what you see there in that table is we reconcile from the CapEx shown in the technical report that was published in May, of $15.2 million and then show the extent to which that’s increased by an overrun on planned development. The additional development Central Shaft that’s due to the COVID delay, as Steve mentioned, we need to -- the development needs to chase the fact that the mining areas have continued to go deeper using the declines, that’s given rise to $3.4 million. The poor electricity supply, that’s going to cost us another $3.2 million in terms of generators and the further equipment to protect ourselves. I mentioned the fact that the number of workers is increased. I think it’s gone up from about 1,700 to just under 2,000. They need to live on the village. So, that means we need to spend money upgrading the workers’ village in terms of housing units and upgrading the water and sewage facility. And also, we’re increasing the volume going through the plant. And so, we need to spend more money on an additional primary mill. And regrind mill and CIL tanks and some more compressor. So, all of that, in conjunction with the balance of the solar spend gives rise to a -- the total CapEx build for 2022 about $37.4 million. I’d have to tell you that more than half of that, the bulk of that is front-loaded in the first half of the year. I’m happy to talk about the dividend. We’ve -- as you know, we’ve increased the dividend pretty much quarter-on-quarter for the past few years. In January, we took the decision not to increase the dividend further. At that time, we were on a yield of approaching 5%. And there was an internal discussion to the effect that the market was becoming complacent for us to continue dividend increases. But more importantly, we’re now beginning to pivot the Company, transition the Company towards being a -- perhaps a more traditional mining company with increased exposure to exploration and development. And so, that we’re really beginning to sort of signal the change that the money that comes out of Blanket is now going to be -- not all going to go in terms of -- into ever-increasing dividend. A portion of it will be retained to create a modest war chest to contribute but not fully fund but contribute to further developments, particularly Maligreen. Steve, do you want to talk about the opportunities? Or Maurice, do want to talk about any opportunities.
Steve Curtis: Yes, I’m happy to, and then Maurice can jump in as well. We’ve looked at many properties, and Maurice through his responsibility is business development has built up an enormous knowledge of the potential that Zimbabwe has. In principle, we want to -- we don’t want to buy large producing assets. They come with big problems. So, we feel very much more comfortable and capable of repeating the sort of the process that we embarked on Maligreen, something that has a pedigree in terms of gold and potentially even gold ounces in a resource statement. And then, we build and develop our own operations. We are cognizant of the difficulties of various processes in Zimbabwe, but we’re also confident that if you sequence events that you can build a very, very nice pipeline. We are absolutely committed to moving away from being a single-asset producer. Work is progressing on Maligreen right now to improve the confidence level around the inferred resource that we purchase. And at that point in time, we will then be able to develop a plan for the next stages. Maurice, what else you want to mention in terms of new opportunities?
Maurice Mason: Well, just to give maybe shareholders a sense of scale, Steve, I mean on this slide, you see we toggle a map of Burkina Faso over Zimbabwe. And that just gives you a sense -- this is a big country. It’s half the size of Germany. And that greenstone belt that you see there that runs north down to Southwest. We’re in the bottom tip of like Houndé . But there’s a huge gold-producing or gold belt, which, frankly, has probably spent 50 years of being under explored. So, we feel we’ve got a unique competitive advantage and probably one of the last gold frontiers in Africa.
Steve Curtis: Thank you. Yes. Maligreen, we’ve spoken about, purchased 100% ownership and inferred mineral resource of just below 1 million ounces. And as I’ve said, we’re working to improve the confidence around that resource number so that we can then do the next stage of planning.
Maurice Mason: And we also, Steve, just to add -- for investors who do want to see that technical report -- we’re quite excited about Maligreen. It’s got the technical report been published. Quite nice grade, tonnage curves, we think there’s definitely potential for a mine there, and we’re working hard on that.
Mark Learmonth: Yes. Sorry, just to be clear, we’re focusing on upgrading our -- the confidence level. And then once we’ve done that, we can then move to a feasibility study to support an initial mining operation. We’re still confident that there is further material depth of long strike and then a new mining area. It’s just our approach to these things is very much to try to turn to account and generate cash from what we know we’ve already got rather than then take time and money developing a bigger resource base. The bigger resource base will come hopefully in time. Okay?
Steve Curtis: ESG. I’ll talk a little bit about that. Mills, if you want to put the next slide up? Hopefully, most of you will have seen our inaugural ESG report that was published last year. We are very focused on ESG. And the publication of a report really just formalizes many aspects of what the mine management at Blanket has been doing and what Caledonia has been doing. But it is recognized now internationally that ESG is something that people must talk about, must commit to and must actually put their cards on the table and show their credentials. So, although Zimbabwe is a difficult environment, in a very poor environment, we have got a very robust ESG program. And really, environmental and social really applies to what goes on at the mine level and the business level inside of Zimbabwe. The governance side of that, yes, the principles that are applied at the Caledonia level, we have always been very, very high on our governance performance. Being listed on multiple exchanges, we know what our responsibilities are. And obviously, that discipline just flows into the way we do business in Zimbabwe. So governance is a taken. And then environment and social, as I’ve already said, we’re working towards a solar farm to improve our environmental footprint. We’re very conscious about the water we consume, and we are doing whatever we can do because it’s a very dry area where the Blanket mine is -- and the principles that are outlined here of the areas and the topics that we focus on. These will all be applied 100% at any new operation as well. So, this is not just going to be a one-week wonder. This is the way we do business and we will be very happy, and we’ll talk about ESG on an annual basis in a formally written report. And this is part of our DNA, always has been, but now it’s in black and white. These are just some photographs as showing the sizes of the current tailings dam. Tailings dam is going to be mothballed during the next couple of years, and we will build a new tailings dam to the absolute right standards. But this just shows the sort of the work that the mine management is doing in terms of vegetation on the banks of the walls of the current tailings dam very, very successful. We use some very clever botanists to help us with the right indigenous plants for this dry area. And yes, this shows, it is successful.
Mark Learmonth: Sorry, just to interject. Sorry, Steve, the new tailings dam not because of a problem with the existing tailings dam. We need a new tailings down because the mine is continuing to produce and the old dam has outlived its useful life. So, the new dam, that’s not a reflection of any deficiency with the existing dam.
Steve Curtis: Quite right. Thank you, Mark. Okay. So, I should probably let Mark do the outlook, because as everyone is aware, I am standing down as CEO at the end of June. Mark is taking over as CEO. And as I’ve said to everyone and anybody who’s asked me why, I’ve been doing this job for eight years, I thoroughly enjoyed the period that I’ve spent in management with Caledonia. But, the next phase of development for Caledonia in terms of becoming a multi-asset producer, gold producer in Zimbabwe is going to require absolute focus for the next 5 to 10 years. It’s going to be a very, very interesting and busy period. And it would be wrong if I thought that I could carry on doing this for the next period. So, it’s time for me to stand down and hand over to new management. But I stay on the Board. I’m available to Mark in terms of some of my knowledge and relationships that I’ve built up in Zimbabwe. So I, and remaining as shareholder, really look forward to the future. So Mark, anything else you want to say about the outlook?
Mark Learmonth: No, no. Just to reiterate what you just talked about there on behalf of your management colleagues and the Board, we’d like to thank you for what you’ve achieved over the last sort of eight years or so. And it will be exciting -- the next few years are going to be very exciting, but it will be good to have you still contributing from the Board. Thank you.
Steve Curtis: Thanks.
Mark Learmonth: But, in terms of vision, we’re clearly chasing this target production from Central Shaft of 80,000 ounces a year, and hopefully, we’ll get there this year. We have a commitment to return money to shareholders. And that’s now going to be balance between returning money to shareholders and retaining some cash to contribute to invest in the Company’s growth. And we really are very excited about not just Maligreen, but also some of the other opportunities we’ve been looking at in Zimbabwe. And that as Steve mentioned one of the reasons why we’re stepping down is we see the next sort of 5, 7, 10 years as being quite a high energy period for us as we grow the business from being a single asset operator to becoming a multi-risk, multi-project, derisked business, again, focused on Zimbabwe. So, we think Blanket and having done Central Shaft creates a fantastic platform for us to achieve that growth. Quite a lot of contacts for people in Zimbabwe. I don’t know there are some Zimbabweans on the call. First, it may be difficult sometimes for you to get hold of people outside Zimbabwe. So, I really would encourage you to try and get hold of Debra in Harare. Otherwise, in North America, Patrick and Paul, at 3PPB, they know as well. In Europe, Jochen Staiger, then also we have our PR advisors I imagine in London. So, I think we can go on to questions. Can we, Camilla?
Camilla Horsfall: Yes.
A - Mark Learmonth: I do see some questions already, which I’m happy to deal with. The first relates to power supply. So power supply is the most significant operating difficulty we face. But I don’t want people to get it out of proportion. It’s actually a problem that we believe we’ve got our arms around in terms of, first off, we have a full suite of standby diesel gensets. So, we can and do often run the mine completely using diesel. It has a cost implication and an environmental implication, but we can still make excellent money using diesel gensets. So, don’t think that the mine is going to sit there, not producing if the Zimbabwe grid falls over. Having said that, the solar project does make a contribution, but already, we are focusing -- we’re beginning to look at a second phase project to increase the contribution from solar further. That will include some sort of battery storage. And so, it will be more expensive. So broadly speaking, the 12-megawatt facility is costing about $14 million. The cost per megawatt included batteries will be approximately twice that. So, we’re not going to go completely off-grid, but we will hopefully -- or more hopefully, I do expect that we will reduce our average cost of power by increasing the contribution from solar. So, I’m reasonably comfortable that we’ve actually got a solution to solar. Inflation is another big problem in Zimbabwe. But again, I think we’ve dealt with it. The workers towards the end of the year -- what was happening is because the rate of inflation in Zimbabwe is very, very high, what happens is that the RTGS-denominated component of our labor bill increases by 40%, 50% for a six-month period. But because the exchange rate is only devalued by 10% or 15%, once you translate that higher RTGS salary back into local -- into dollars, it gives rise to a very significant, I think it was about a 25% increase in the U.S. dollar salary bill. And that was only for six months. So, to lance the boil, we took the decision late last year to pay all of our workers 100% in U.S. dollars. And so, the question that someone asked was high local inflation is demotivating employees. Well, they’re no longer demotivated. They currently get paid in U.S. dollars. Now they could do what they will with in U.S. dollars. So, they’re very happy, okay? The workforce has grown more quickly than we expected. And that’s because the grade was lower than we expected, and so we’re having to move more tons to achieve the target of 80,000 ounces, and that’s also flowing through in terms of needing additional milling capacity and additional CIL capacity. It is at the margin, okay? It’s not a significant problem. So, I think that deals with inflation.
Camilla Horsfall: If people want to ask questions, you can just raise your hand and we are able to unmute you.
Mark Learmonth: Yes. I think Howard is trying to raise a question. So, I think, Howard, if you raise your hand, I think then Camilla will unmute you.
Camilla Horsfall: I think he’s saying that his computer doesn’t have a microphone. So, I don’t think he’s able to speak.
Steve Curtis: Howard should be able to talk now. Howard, you’re in. 
Unidentified Analyst: Can you hear me?
Mark Learmonth: Yes.
Unidentified Analyst: Good. Yes. I’m joining by both phone and computer. First, a minor question and then a few comments, all positive. Could you save $3 million in electricity once the solar plant -- $3 million a year, once the solar plant...
Mark Learmonth: Yes, we will. Yes. The answer is -- sorry, to be clear. It’s about $3 million a year, which would equate to something between $35 and $40 per ounce, which is about 5% of our online cost per ounce. Yes, Howard, completely right. There’s a little bit of complexity in terms of the accounting, which I won’t bore you with, but on a consolidated level, that benefit will get recognized. Yes.
Unidentified Analyst: Okay. Second, on your comment about the dividend. If you keep some money to grow, people will find an excuse to buy your stock. Just grow the business. They’ll figure it out.
Mark Learmonth: Yes.
Unidentified Analyst: Somebody figured out Buffett stock and here it is $515,000, with maybe one broker report in 50 or 60 years. Somebody figured it out. Second, Maligreen appears to have the potential to grow your production another 65% or 75% per year once you get it operational. Is that correct?
Mark Learmonth: Well, yes, we can’t indicative -- I don’t know where that -- we think Maligreen could support an asset of 60,000 to 70,000 ounces a year. So, it does…
Unidentified Analyst: Yes. That’s about the same number.
Mark Learmonth: Yes.
Unidentified Analyst: 60,000  over the quarters.
Mark Learmonth: Yes.
Unidentified Analyst: It only costs you $4 million.
Mark Learmonth: Well, hold on, hold on. We’ve got to build that damn thing, Howard. The gold won’t jump out the ground.
Unidentified Analyst: No, no, I understand. You have to spend money, but $4 million for almost 1 million ounces is pretty cheap, even in Zimbabwe. And finally, for Steve, people forget that 7 or 8 years ago, when the price of gold was $1,250 and Zimbabwe on inflation was 4 million, zillion percent. You were able to guide Caledonia through production and then plan to expand the business through the best kind of financing, retained earnings. And here we are, on your way out. Nice job.
Steve Curtis: Thank you, Howie. And remember, the team that was with me at that time is pretty much still here. And that’s -- that I think shareholders should really remember. There is no disruption.
Unidentified Analyst: Yes, I forgot to mention that that 9/10 of the team is still there. So, it should only be beneficial changes.
Steve Curtis: Correct. Thank you, Howie.
Unidentified Analyst: All right. Thank you, everybody.
Camilla Horsfall: We’ve got one more question here.
Unknown Analyst: Just a quick question on the fit that -- we’ve seen quite a number of international gold players coming into Zimbabwe and acquiring gold assets. What is your view in terms of opportunities going forward? Do you think they will remain as cheap as they are or what do you think will happen?
Mark Learmonth: I think one of the prime difficulties we faced over the course of recent years, there’s been the quite obscenely ridiculous price expectations. The people who hold Zimbabwe business have as to what that’s worth. And it’s been a real struggle to actually get them to understand that they don’t have a producing mine, they often don’t have a resource base. They might think they’ve got gold there, but they don’t know they’ve got gold there. And they expect people like Caledonia to spend the money to prove the resource base. And then -- so we found a big disconnect between realistic price expectations and local price expectations. And hopefully, that’s going to moderate. Zimbabwe is a challenging place to operate. Just the -- I don’t want to overdo it because we’re very successful at it. But if you’re not operating in Zimbabwe, it is quite a -- you’ve got to be quite brave I think to jump into Zimbabwe and start developing new mines. So, we have seen people come into the sector, and they’re very welcome -- very, very welcome. And that’s a great -- it’s great because it means that finally, international investors -- will be professional investors in the gold space and now beginning to recognize the real merits for Zimbabwe and that’s good. We’re in the water and we’d like the people to come into. It’s a nice. But we’re perfectly happy to compete alongside other gold producers for assets in Zimbabwe, perfectly happy.
Maurice Mason: Maybe just a quick comment from me, Mark. We actually think having other internationally reputable organizations in the country would help investors enormously. One of our challenges is that we’re the only one that’s the only internationally listed mining company in Zimbabwe. So, you take a country like Burkina, where there’s a good 10 or 12 internationally recognized reputable operators. I don’t think it’s justifiable with Zimbabwe. I don’t think it’s any less risky than Burkina or other countries, not to knock those countries. But it’s because there’s lots of other people there, there’s other benchmarks, there’s other comparisons. So frankly, we think we have a competitive advantage in the country, and so we’re not scared of any competition. But a few other reputable players, we think that rising tide would lift all the boats and would be helpful.
Mark Learmonth: So, a question about Central Shaft. Yes, the Central Shaft will start hoisting ore towards the end of this year. And then, increasingly, over 2023, we’ll start hoisting more ore. And absent -- in the ordinary course of events, number 4 shaft would stop operating because number 4 shaft doesn’t really have access below 750 meters. But we believe there’s actually a reasonable prospect that we may continue to mine remnants above 750 meters. So it could well be that Central Shaft keeps going for longer than we’d expected because it is mining material that we didn’t expect to be mining when we set about this plan. But Central Shaft will certainly stop hosting ore by the end of the year. And as I understand it, on the solar project, everything is on its way. It’s either in country, on its way, overland or on a boat. I don’t think we are at risk of any further supply constraints. I guess, what’s driving that question is the current news about production difficulties in China as they face another wave of COVID. As I understand it, pretty much everything we need is either on its way or on a ship. Good. We’ve done?
Steve Curtis: I don’t see any new questions. So, let me just on behalf of the team who’ve been here today, so thank you to all of you for joining. I hope you’ve enjoyed the presentation. As I said, the slides that we did flip through quite quickly are available on our website. Our ESG report is on our website and look out for the new one that will be published during this year. So, thank you very much for attending. And we will be in touch with you through our normal communication channels in the near future. Thanks a lot, everyone. Bye now.